Operator: Good morning, ladies and gentlemen and welcome to Orange's Q1 2024 Results Conference Call. The call today will be hosted by Ms. Christel Heydemann, CEO; and Mr. Laurent Martinez, Chief Financial Officer with other members of the Orange's Executive Committee for the Q&A session that will start after the presentation. With that let me hand over the floor to Ms. Christel Heydemann. Please go ahead ma'am.
Christel Heydemann: Good morning and welcome to our Q1 2024 results presentation that I will comment together with Laurent. Let's move to slide 4 which presents the key highlights of the quarter. We began this year with the launch of our new brand signature Orange is here already launched in a dozen of countries and which has been positively received for its innovative and credible approach. The main achievement this quarter as expected was the completion of the transaction with MASMOVIL to form a leading operator in Spain. This is a decisive step forward in our overall vision for a strong and thriving telecoms industry in Europe. As a consequence from now on we fully deconsolidate Spain from our group KPIs. Overall, we are very pleased by our Q1 operating results excluding Spain with revenues up by 2.1% and EBITDAaL growth of 2.3% consistent with our full year guidance. In terms of innovation, we launched this quarter new offers notably on GenAI for our B2B customers in France. We also expanded our partnership with Google Cloud to leverage AI and GenAI across our work streams and geographies. Through this partnership we will accelerate on AI with a focus on operating smarter and more efficient networks, while improving customer experience. Coming back to MASORANGE on slide 5. This business combination creates the leading telecom operator in Spain with more than 40% customer market share an extensive network coverage and undisputed NPS leadership. We benefit from strong financials that will enable us to win in this market, which has not been structurally changed by remedies. The new joint management team is in place and their top priority is executing the synergies and deleveraging to 3.5 times to focus on cash generation. The JV financing package was obtained at competitive conditions thanks to our solid credit ratings. Run rate synergies amount to about €490 million with in addition a potential of commercial synergies of around €100 million based on past transactions. These significant synergies compare to moderate net integration costs estimated at less than half a year of run rate synergies. This flagship transaction with our 50% ownership of the JV is clearly creating value for Orange taking into account the synergies and the €4.4 billion cash upstream received at closing keeping in mind that we have a path to control. Now let's have a closer look at our main financial KPIs on slide 6. In the first quarter, the group delivered revenues of €9.9 billion up by 2.1% year-on-year driven by solid retail services up more than 3%, while wholesale decline slowed down this quarter notably thanks to the unbundling tariff increase in France. From a segment perspective, Middle East and Africa contributed most to group revenue growth with double-digit growth. And France grew by almost 1% with retail services growth offsetting wholesale decline while Orange Business remained flat. Europe revenue's slight decrease was due to low-margin activities decrease, while retail services grew by almost 1%. Group EBITDAaL at €2.4 billion accelerated in Q1 '24 up by 2.3% notably fueled by retail services performance paving the way to our full year guidance. Finally, CapEx is at 14% of sales consistent with our around 15% full year ambition. I will now hand over to Laurent for the review by business.
Laurent Martinez: Thank you, Christel. Good morning, everyone. So let's start with our segment review with France on slide 8. In France revenues are back to growth this quarter with retail services growth offsetting wholesale decline. Retail services excluding PSTN is up 3% year-on-year fully in line with our 2% to 4% ambition driven by our value strategy with ARPO up year-on-year. Wholesale revenues fell by less than previous quarters benefiting from the unbundling tariff increase as of Jan 2024. We are pleased with ARPO evolution as a result of our value strategy. Moreover with 5G and FTTH penetration at 35% and 70% of our customer base there is still potential to drive value. Regarding the commercial performance, we delivered a solid performance on mobile and continued solid momentum in FTTH despite slow market while FBB performance continued the trend of recent quarters. Finally based on this Q1 solid financial performance, we fully confirm our global target to grow retail services excluding PSTN between 2% to 4% as expected and targeted in our Capital Markets Day and our target to stabilize EBITDAaL in France in 2024. Moving to Europe with results, which now are excluding Spain as Christel explained. Revenue were down 2% this quarter with a solid performance on retail at almost plus 1% and decrease on low-margin activities such as equipment sales IT&IS and wholesale impacted by the new regulatory decrease of termination rate as anticipated. On the retail side, growth in the quarter was driven by a balanced volume and value strategy with convergent services with a solid momentum of plus 7%. Finally after in-market consolidation integration in Belgium and Romania is on track. Overall, we expect Europe to deliver a low single-digit EBITDAaL growth in 2024 consistent with our group guidance. Moving to Spain on the next page. So even if Spain is no longer included in our group KPI, we want to highlight the continued strong performance of Orange Spain firmly putting MASORANGE on the value-creation path with retail services, which continued to grow in this quarter fueled by convergent ARPO up 4.5% including as well wholesale and equipment sales revenue are slightly down in the wake of regulated decrease of mobile termination rate. Consistent with last year, churn improved as well year-on-year. And finally both FTTH and postpaid mobile customer base increased in the quarters. Overall, we are very pleased by the Spanish performance over the last two years a strong platform for MASORANGE performance ahead. Moving to MEA, which again demonstrated its extremely strong performance fully in line with our targets with Q1 up double digit for the fourth consecutive quarters over 11% fueled by our four strong drivers. A clear illustration growth in mobile revenues driven by both volume and value with average mobile ARPO up 5.4% and an acceleration in mobile customer base growth. Nine out of our 16 countries posted double-digit growth this quarter. In Egypt, devaluation was fully anticipated in our forecast and is offset by a very positive operational performance at 35% revenue growth along historic figures double-digit growth in Egypt and close to 9% in MEA. Looking ahead to 2024, we confirm at least high single-digit EBITDAaL growth for this region. Lastly turning to Orange Business. Revenues are stable while IT&IS is up 7.5% in Q1 improving by two points compared to the previous year. This growth was driven by Orange Cyberdefense double-digit growth and by solid performance, as well on digital services. Looking at our turnaround, we successfully passed two key milestones; number one, we streamlined our product and services sales portfolio and reduced it by more than half to better focus on profitable offers as targeted. Number two, the voluntary departure plan in France is now under execution with corresponding departures starting in the second half of 2024. Finally, we are pleased and proud that Gartner ranked Orange Business as the number one connectivity provider in terms of ability to execute above all our peers including to name a few BT Vodafone DT and AT&T. Market recognition and customer satisfaction as demonstrated by this solid NPS will foster our business growth looking forward. These are all key steps to achieving our target to halve the EBITDAaL decrease this year before being back to growth in 2025. Now, Christel back to you for the closing comments.
Christel Heydemann: Thank you, Laurent. I would like to conclude this presentation simply by emphasizing that this first quarter's results underpin our confidence in achieving our full year guidance which remains unchanged. We are more than ever laser-focused on executing our Lead the Future plan and on delivering sustainable value. Thank you for your attention. The floor is now open for questions.
Operator: Thank you very much for the presentation. We'll now be moving to the Q&A part of the call. [Operator Instructions] Our first question comes from Mr. Nicolas Cote-Colisson from HSBC. Please go ahead, sir. Your line is open.
Nicolas Cote-Colisson: Hi, everyone. I have got one question on France. Essentially, it's quite a fact that fixed and mobile subscribers are not that strong. So what does it say about the change in competition pattern? Do you think it's a matter of pricing or it's just a one-off? Maybe driven by the new offers at Iliad for example? I'm just trying to assess what's going on and what price actions are maybe enriching your offers. Can you really consider such context to drive your value growth? Thank you.
Christel Heydemann: Thank you, Nicolas. I will let Jean-François comment on the market conditions in France.
Jean-François: So talking about the conditions of the market in France. Actually, since last quarter, not much news, I mean in terms of the way the French market is behaving on the A brands, I mean I think actors are really rather reasonable and there is still a fight on the B-brand markets and the lower segments of the market. So as you have seen, we have been behaving extremely strongly and we are posting positive net adds on mobile slightly better than Q1 last year. On the broadband, what we can say is that the churn is slightly better and that our FTTH sales are very strong if you look at 247,000 net adds. Nonetheless, it's sure that we are going to -- we have been extremely strong in working on the value equation. As you will remember last year, we have cut the promotions from 12 months to six months. We have been doing a lot of price increases in our customer base which are actually leading to this pretty strong 3% retail services increase in Q1. So we are pretty happy with the results. We are going to fine-tune this in the coming quarters in order to balance a little bit more the volume/price equation of our business. That's I think what I can comment on the French market. Yes, the last point because you were referring to the launch of the Iliad offers two months before. What we can say -- although I'm not very keen on commenting on our competitors' launches what we can say is as I was saying we don't see actually any effect on our broadband base. Again, I mean our broadband churn, if we compare to Q1 last year is slightly decreasing. So that's the only thing I can say about that. So no impact on our broadband base of this move.
Nicolas Cote-Colisson: Okay. Sorry, if I may add one thing. So you mentioned price increases in the customer base. Are you referring to price increases from last year feeding into 2024? Or have you also increased prices in the last few months?
Jean-François: Last year as you remember, we have done two things. In the beginning of last year, we have done let's say a price increase of €1 for each of our mobile subscriber and €2 for each of our broadband subscriber. That was announced actually in the Q1 of 2023. And actually, in the second half of the year, we did more moves, more tactical moves, let's say on half of the customer base that were not so massively communicated at the first move at the beginning of last year. But nonetheless, they are definitely delivering the growth you are seeing this quarter. And amongst this move was also the reduction of the promotions from 12 months to six months. So that's the two things we have been doing last year. One has been obviously less obvious and less communicated but nonetheless, very strong as well.
Nicolas Cote-Colisson: And anything so far in Q1 or...
Jean-François Fallacher: I mean the tactical moves are still going on in Q1.
Nicolas Cote-Colisson: Okay. Great. Thank you.
Operator: Okay. Thank you very much. We’ll be moving to the next question. The next question comes from Mr. Nick Lyall from Bernstein. Please go ahead, sir. Your line is open.
Nick Lyall: Good morning, everybody. It was a quick question firstly on labor expenses. I think for the first quarter they were up about 5% after flat last year. Could you maybe just explain why I think Laurent, you mentioned maybe some second half departures via the early leaving plans so maybe it's timing. But could you help us with the outlook for labor expenses, please? And then the second one was on Spain. I think also in the presentation you mentioned not structurally changed by remedies, which seems fair. But could you tell us what you're imagining for price competition as we sort of get into the new sort of MAS Orange era, please? Thank you.
Christel Heydemann: I will hand over to Laurent then to comment on the labor expenses. When it comes to Spain it's – I mean it's difficult to comment on what's going to happen in the market in the future. But as you know, the Spanish market has been going through many changes. Very, very aggressive market on the low-cost brands for the past years but also very disciplined in driving value in the high-end part of the market. As you know the remedies, we don't expect them to bring structural change. As you know Vodafone is exiting the market. We are combining with MASMOVIL and the rest of the market remains smaller players. So we do expect the market to improve at least. We will drive our part in making sure we drive value in this market. But as I said, even more focused on delivering the synergies and also continuing to work on leading from a customer experience. We have the leading NPS when we combine MASMOVIL and Orange in Spain. So we will absolutely focus on this. Orange on its side has been communicating on price increases in Q1 to customers that will keep – that will impact our P&L starting April with some plus €1 to plus €3 increase depending on football packages but it's all on premium. And we also know that Movistar and Vodafone have also increased their ARPUs in the same range. So we do expect similar behavior. Premium market very solid and focused on value. And a low-cost market very aggressive as always.
Laurent Martinez: On the labor expenses Nick, two factors into it. Number one, of course global inflation and salary increase. We have completed salary increase negotiation in France, specifically, which is impacting of course our quarter-to-quarter labor expenses. We need to bear in mind as well that we are expanding our labor cost on ongoing markets, specifically in EMEA. So there is a volume game into this. And there is some phasing as well into this which is inherent to the labor expenses. So nothing to be concerned about.
Nick Lyall: That’s great. Thank you.
Operator: Thank you very much. Next question comes from Mr. Roshan Ranjit from Deutsche Bank. Please go ahead, sir.
Roshan Ranjit: Great. Good morning, everyone. Thanks for the questions. I've got two please. Firstly on CapEx, we saw an increase for the first time in a while this quarter. I guess in line with your 15% CapEx-to-sale guidance but just to get a sense of the kind of I guess approximate split of the CapEx spend. I imagine most of it will be dedicated towards AME. But just to get the sense of how the I guess fiber investment in France continues to trend down. Any color you can give there will be super helpful, please. And secondly on the Enterprise business, you mentioned the voluntary departure plan. How far are you through that? And again, in terms of the road to EBITDA recovery in 2025, what is the kind of mix between the product shift and the underlying cost cuts, which you can implement in there? Thank you.
Christel Heydemann: Thank you, Roshan. So on CapEx, the Q1 figures are really -- there's a phasing impact in the year, but nothing to be worried about and we are fully aligned, with our ambition at group level to be at 15 -- around 15% eCapEx to sales. So, no concern. And when it comes to the rollout of fiber in France, we are fully under control. We've signed an agreement, with the French government to clarify a number of regulatory constraints that we had. But as we said already in the past, this was planned fully included in our budget and forecast. So, absolutely no change. And we continue to be focused on connecting customers, to our fiber network. On the Enterprise recovery, so the voluntary departure plan was officially validated early April. So it's now in motion, with I mean discussion and open to employees for volunteer. So this has started and will impact our financials in the second half of the year. When it comes to the recovery towards a stable EBITDA in 2025 -- or EBITDAaL back to growth in 2025, it's of course the cost-cutting plan which is not just about the head count in France and the voluntary departure plan. This is something that of course, we drive not just in France also at a worldwide level, but it's really a lot of actions around execution excellence. Of course, the portfolio pruning, but it's also the growth of our Cybersecurity business and really driving gross margin improvement, in all our digital services. So it's -- I won't give you a number, but it's really a full comprehensive plan where of course cost-cutting including the head count, but not just the head count is a key element.
Roshan Ranjit: That’s helpful. Thank you.
Operator: Thank you very much. Our next question comes from Mr. Mathieu Robilliard from Barclays. Please go ahead, sir.
Q – Mathieu Robilliard: Yes. Good morning. Thank you for the presentation. First, I had a question around MASORANGE. So congratulations on getting the deal closed. I wanted to know, what you meant in your slide deck presentation about the contract -- the wholesale contract you signed with DIGI when you talk about capacity-based fee. I wanted to understand if possible, whether DIGI is paying a certain amount for a certain percentage of your network capacity or is it based on the volume they use and ask you. And the second question was around networks. Clearly, it seems to me at least that the decision by the EC to not impose structural remedy is a positive, and I was wondering if there was scope for more network consolidation in Spain. As you flagged Zegona is buying Vodafone and Zegona has made it very clear that, they would like to enter into some deal on network sharing on the fixed side. So I would be curious to understand, whether that is something you're hoping to theoretically. And then the last question was on TOTEM. I realize that the growth is not very strong at the moment, and I was wondering what was driving that? Are you seeing slower growth in towers over your footprint? And then, if I may follow up. You had said in the past, that you would consider strategic options around TOTEM, but certainly after the deal closed in Spain. It's now closed. So I don't know, if you have any updates you want to share with us in terms of how you view TOTEM. Lots of questions, sorry. Thanks.
Christel Heydemann: Thank you. So on the Spanish market, the remedies first to remind that the wholesale agreement that we have signed with DIGI, is optional. So it's for DIGI to decide whether or not they want to activate it, knowing that today they are working on the Telefónica network. And remind you that, this is an agreement that is at market conditions, from a pricing standpoint. So at least, I mean, no impact of course on our financials. And again, they have the option to exercise this wholesale agreement until 2025 or 2026. So it's not short-term, and they cannot exercise it after 2026. And it's indeed capacity-based fee pricing, but again at market conditions. So this would not we believe have impact on the retail market prices. When it comes to networks in Spain, you're absolutely right that the Spanish market is somehow overbuilt, and we do plan of course to create synergies between Orange and MASMOVIL to start with. And so we will -- and that's part of the synergies that we expect. And we will of course be very focused on making sure that we increase the usage of our networks also through wholesale or any type of schemes. And symmetrically, we will also make sure that we are very focused when we invest in CapEx in Spain on avoiding overbuilt. And so we will also have a role as a leading player in Spain to drive as much as possible network efficiency across the market, but I don't have anything else to comment at this stage, but you can be reassured that this will be a key focus of the management team in Spain. When it comes to TOTEM nothing to comment from a strategic standpoint. And maybe I will hand over to Nicolas the CEO of TOTEM to comment on the performance and the market environment.
Nicolas Roy: Yes. Good morning. So regarding the revenue of TOTEM, as you said, overall, revenue are stable. Now when it comes to recurring revenue hosting revenue they are growing by 2.6% year-on-year, which is aligned with our budget. And the rest of it are revenues of low margins that are compensating this overall recurring revenue. So we are on a good train regarding TOTEM. And when it comes to external revenues, I mean, revenues that are made with other customers in Orange we are growing by 4.6%. And if I exclude MASORANGE I'm talking of 11.6%. So we are on a good plan for external revenues.
Mathieu Robilliard: Sorry it's probably down to my English. But Christel when you say capacity based again if you can maybe be more precise. Is that a percentage of the network at a certain price or is it a volume commitment as in they buy x megabytes or gigabytes per month or per quarter and they pay based on that and it varies according to the volume the purchase from you DIGI that is.
Christel Heydemann: Yes. No it's consumption-based price. So it's price per gigabyte used on the network.
Mathieu Robilliard: That's very clear. Thank you so much.
Operator: Okay. Thank you very much. Our next question comes from Mr. Jakob Bluestone, BNP Paribas Exane. Please go ahead, sir. Your line is open.
Jakob Bluestone: Hi. Thanks for taking the question. Just hoping if you could turn back to the Sosh KPIs in the French business. And I guess, just if you can maybe just help us understand why you're not really benefiting from the large customer losses at SFR. We obviously saw in Q4 I think it was 80,000 subs lost in fixed and over 200,000 in mobile. But that doesn't sort of seem to be -- it doesn't seem like the weakness at SFR is really helping your business. So if you could maybe just help us understand that. And then just more broadly on fixed line. I mean you've lost almost 150,000 broadband subs over the last year. Your ARPU growth does seem to be slowing a little bit now I guess as you annualize some of your price hikes. I mean, should we be expecting a slowdown going forward in that business? Or how do you sort of think about this rebalancing of volume versus value that you mentioned?
Christel Heydemann : Thank you. I will let Jean-Francois comment.
Jean-François Fallacher: So, first of all, hello, please be reassured. I mean, we are benefiting from losses of customers from SFR. I mean, again, we are posting as you've seen positive net adds 6,000 on mobile and very strong net adds on fiber 247,000 in net adds on fiber this quarter. So obviously, this is not only coming from customers from Orange migrating from copper to fiber, but we are getting customers from the entire market and from all the operators by the way and indeed you're right, especially from SFR. I mean once more and you're right to stress that, if you look at our ARPUs year-on-year, they have been increasing very strongly. I mean when we look at the fixed broadband ARPUs, they have been increasing by more than 5%. If you look at the convergent ARPUs, they've been increasing by more than 4%. So basically, what we can say is that, again, I mean we are going to work on fine-tuning in the coming quarters, let's say, the volume/what we call value price increases. But we believe this is quite a strong quarter from this point of view.
Jakob Bluestone: Good. Thank you.
Jean-François Fallacher: And I remind that we have a broadband customer base of 12.7 million customers in France. So please, refer with the numbers you see with this 12.7 million customer base.
Operator: Okay. Thank you very much. Our next question comes from Mr. Georgios Ierodiaconou from Citi. Please go ahead.
Georgios Ierodiaconou: Yes. Good morning and thank you for taking my questions. Maybe a couple of follow-ups on France and I think both Nicolas and Jakob focused a bit on the pricing side. I just wanted to understand you made a comment earlier that the churn on broadband is coming down in Q1, yet it looks like overall the KPIs are a bit weaker. So, I'm just curious if there is a market problem beyond what we saw last year if there's a further slowdown in market growth or whether it's just one player being a bit more active than the others in the past quarter. And going forward, you are going to pass down the anniversary of back book price increases last year. So, is that a risk that we see actually some of this broadband growth slowing down quite materially from the second quarter? And then the second question is more strategic, and I think Mathieu earlier asked about consolidation of networks in Spain. I guess in France, they are not parallel. But I'm just curious whether -- there's been a lot of reports about networks being available for sale whether it's something of interest for Orange; from an antitrust perspective whether you believe that's double. Any comments on that will be highly appreciated.
Christel Heydemann: Thank you. I will also hand over to Jean-François but maybe to comment on the overall market. We indeed see -- and that's not just for Q1, we already saw that second half of last year a slowdown in the market dynamic with less net adds and this is -- you look at the report from 2023, there has been less net adds compared to the year before. So there's definitely a market slowdown. And in that environment, indeed, we had a lower churn broadband in Q1. But you're right there's overall a market slowdown in terms of net adds in the market. When it comes to consolidation of networks, there has been indeed a number of deals. As you know TDF or XpFibre are very often communicated. It's, of course, for those players to comment what we see. At least what we hear is that the number of investment the private equity firms or investment funds are looking at it. When it comes to XpFibre, our analysis is that there are some antitrust complexities that would make it a possibility for us to position ourselves, knowing that of course, we have agreements already with XpFibre and we definitely benefit from their networks in our retail business in France. Jean-Francois, on the -- nothing more to add on the broadband? Yes.
Unidentified Company Speaker: Can we move to the next question?
Operator: Yes. Absolutely. The next question comes from Stéphane Beyazian from ODDO. Please go ahead, sir. Your line is open.
Stéphane Beyazian: Thank you. I've got three if that's possible. Sorry to push a little more on the commercial performance in France to start with. Is it just possible to have a sense of whether that weakness we are seeing is a little more on the Orange brand or on the Sosh brand because you mentioned more competition -- or still competition in the low end of the market. But the Sosh brand looks quite well priced to me, so I was just wondering whether you can give us some flavor of how the two brands are behaving? My second question is on AI. I mean we've seen Deutsche Telekom in that joint venture with some international telcos. And I think they are working especially on chatbot. So, I was just wondering -- and I guess you're probably working also on those topics if you can give us an idea of what sort of savings you think are possible in your customer relationship center and how much today you are doing internally versus outsourcing that customer relationship? And finally just on probably a smaller topic. But can you tell us a little more about what could cost the Olympics for you and what you've projected on that? thank you.
Christel Heydemann: So, on the French commercial performance, I will let Jean-François comment. Go ahead Jean-François.
Jean-François Fallacher: Yes. Your question about Sosh versus Orange. So, when we look at both I mean indeed I mean both are performing pretty well. I mean obviously Sosh is a brand that is destined to I would say the segment of consumers that are eventually more interested in let's say lower-price segment. So, this is performing well. Again I mean on the broadband, churn is really under control, slightly decreasing. So, as Christel was explaining to you we see indeed an overall decrease in the French market certainly due to the fact that we are post-COVID. So, in COVID, we had huge appetite for broadband. Second, I mean it's true that with the inflation, I mean the French population purchasing power is under pressure. So, this is probably also explaining the overall slowdown of the market. So, when I said that churn is really under control on a base of 12.3 million broadband customers, I mean you understood it clearly. I mean this minus 43,000 in net adds on broadband are simply explained by the fact that we are slightly missing some sales and that's what I was explaining. We are in the coming quarters not only going to pursue the price and value strategy like we did. Again our ARPUs on fixed broadband have been growing 5% quarter-on -- year-on-year sorry. Our convergent ARPO is more than 4.5% growing. So, we are going to fine-tune a little bit and put some more -- a little bit some more pressure on the volumes. But again we are going to do that on a very disciplined way. I remind we are the leader of the French market and we are going to be as such.
Christel Heydemann: When it comes to your question on AI, so like similar to our peers in the industry, we have three main focus as a company: focused on driving smarter networks; of course, focused on improving our customer experience and especially when it comes to our customer relationship centers and call centers; and last but not least augmenting our employees to be more efficient. We do not have a strategy to invest in equity and to invest directly I would say on language models, which I think you are referring to the Deutsche Telekom agreement, which they've done with the South Korean operator. We are working with several partners. So, I commented this morning on our announcement with Google Cloud and especially, adding AI capabilities on top of our existing Google Cloud partnership. But we are also working with Mistral, for instance, for our internal efficiency and for our customer relationship management. And we have many, many initiatives. Very, very early to put some numbers on it. As every company we are testing and really making sure we focus on what we should scale to drive indeed some material savings. But really too early to make any comment. And today this is part of our overall financial guidance so included in our investment plans when it comes to of course investing in technology. On the Olympic, I don't know Laurent you want to comment?
Laurent Martinez: Yes. Good morning, Stéphane. So in terms of cost we are talking about a few tens of million euros so not a very large amount. Of course there is in front of this a lot of motivation for all of our employees and something which is very strong in terms of the image of the group because we will be the as you know the unique partners when it comes to telecom on this event which is now I think day minus 93 as we speak.
Stéphane Beyazian: Thank you. Very clear.
Operator: Thank you very much. Our next question comes from Mr. Andrew Lee from Goldman Sachs. Please go ahead.
Andrew Lee: Good morning, everyone. Just at risk of asking just too many questions on a couple of things. I just wanted to just come back to the DIGI wholesale offer. It's very clear your explanation Christel in terms of the market conditions and they've got the option until 2026. Could you just explain to us when was the first time DIGI was able to take advantage of the wholesale deal? I'm just trying to work out how much we should read into the fact that they haven't so far? And if you could give us any kind of insight into what the deliberation is on TEF's existing deal versus yours and trying to help us understand like if it hasn't taken the wholesale deal yet what would have to change for it to take that deal because obviously that's a key insight into whether there'll be market repair or whether that deal truly is no better than the TEF one than it already has? Any help on that would be really useful. And then just a second just a quick follow-up on the French competition side. Just bigger picture obviously you're driving for value over volume in France and now using -- you have used headline price rise and now using tactical moves as you put it. Are you surprised or disappointed by the response of your competitors? Do you try to lead those prices higher? Any kind of reflection on kind of how competitors are responding to what you're trying to do would be -- might be helpful? Thank you.
Christel Heydemann: Thank you, Andrew. So on the Spanish dynamic and the DIGI wholesale agreement I believe we have a Ludovic Pech on the call and Ludovic was the CEO of Orange Spain until end of March. He's now the CFO of our JV. And so I will let him comment. But as we -- as I said earlier the wholesale agreement today I mean we cannot comment of course on the Telefónica agreement. We don't know it and as you can expect we don't have the details. But today they have this agreement. And with us it's not a smooth process to migrate your -- I would say roaming agreement in such a market. And I believe they can activate our contract until September 2025, but I will hand over to Ludovic to provide you more colors.
Ludovic Pech: Yes. Thank you, Christel. And I would say very much to the point as a follow-up to the information which was already shared I think it's important to remind that the remedy package is not focusing on providing efficiency increase to DIGI, but rather to provide continuity to DIGI. That's the reason why as Christel Heydemann was mentioning this is an optional NRA at market condition. And in the event that they would not continue using the network of the incumbent and/or they would not be successful I would say in rolling their own network or for whatever reason they would have this fallback solution that they can exercise no later than 2026 so end of 2025 and for a period of 2023 to 2038 if they were to activate it. We consider that at market condition and standard. And I think importantly, we have not factored in MASORANGE any revenues coming from this wholesale agreement. Putting that in other words, if they were to choose to activate this option, obviously, that would be incremental to the revenue and EBITDA of MASORANGE. But I think it's important to remind that this is not to provide additional efficiencies, but to provide continuity to DIGI.
Andrew Lee: Thank you, Ludovic.
Christel Heydemann: Thank you. Yes. Thank you, Ludovic. Very clear. On the -- on your question on the French market and the dynamic, I will again pass the floor to Jean-François.
Jean-François Fallacher: Thank you, Christel. Yes, on the French market, again, I mean you were asking about how our competitors are reacting to the move we've been doing. I mean indeed what I can say is that on the A brands, we've seen rather disciplined movements of our competitors. I mean, even Free as you have seen in the first quarter has been launching an offer at €60. So we saw that rather as a good move going into let's say higher price points. It's true that on the B brands, so if we talk about RED, B&You there has been quite some movement. We have seen let's say some kind of unrest from Bouygues Telecom because they changed 22 times the prices in Q1. In face of that we've been, again, I mean behaving extremely disciplined, keeping our head cool. I mean, we are again having positive net adds in Q1. We've been behaving as the leader with our second brand here in this market Sosh. And well this is I would say the French market in Q1 rather in continuity with what you've seen happen in the second half of last year actually.
Andrew Lee: Can I just a quick follow-up. Are you in any way worried about spin-down risk increasing given that low-end competition? Or do you think it's so removed from the rest of the market that it doesn't drag down pricing elsewhere?
Jean-François Fallacher: No, I mean, if you look at our customer base we've seen no spin-down. And again I mean look at our customer base, our ARPUs are growing. Would we have seen spin-down? You would obviously see that in our ARPUs and our ARPUs are extremely strong, our customer base again extremely strong.
Andrew Lee: Thank you.
Operator: Thank you very much. Next question comes from Mr. Javier Borrachero from Kepler Cheuvreux. Please go ahead sir.
Javier Borrachero: Good morning. I have a question on Spain. Back to this the question of the network and I appreciate very much your comment that you want to avoid overbuild, and make all type of efficiencies. But at the same time when the JV was presented a couple of weeks ago, the new CEO mentioned that MASORANGE had committed €4 billion investment over the next three years. If I make this on a linear basis this is probably more than what the two companies on a stand-alone basis were investing. And I think also some of the announcement were the idea of passing six million new homes, fiber homes in the next year. So my question would be how to reconcile these two messages; one, about investing more in your comment today about being more selective; and overall, the question would be if your marketing position in Spain is going to be trying to capture customers in the high, the premium segment through this additional investment maybe assuming you could lose some customers in the low-end segment, or your strategy is going to be more simply trying to defend your customer base today? Thank you very much.
Christel Heydemann: Thank you. So on the Spanish investment plan, as I said and of course Meini, the CEO of the JV is very determined to driving value. I can guarantee you that, of course, we have a business plan. We do plan to increase our 5G coverage. So this is absolutely part of the plan, because we do want to capture the premium market. And we know that network excellence needs to I mean we want to stay on top and as Orange we were lagging behind in terms of capacity of investment compared to Telefónica. But when it comes to the €4 billion I mean as you know we are reviewing budget, approving budget every year and we have many initiatives. So the €4 billion is not something that is given and that will be invested. We do review every investment plan and approve them and I can guarantee you that we have a number of option to optimize this and we will absolutely drive this. When I say that the team and the management team will be focused on cash flow generation, of course, we will make sure that we avoid spending CapEx when we have alternatives that drive better and earlier cash flow return. So ROCE and cash flow return will be the main focus. And from that standpoint the €4 billion CapEx investment is probably a maximum investment plan. And we will make sure that we drive, as I said, we drive an improvement in the market environment in Spain. When it comes to defending, I mean the premium and all the market segments, as you know we have many brands when we look at MASORANGE. And of course we have some premium brands, some medium brands, some low-end brands. And so we do plan to grow in the B2B segment as well. So it's not just -- of course, we do plan to defend our premium brands. And the team is working on the plan to continue to grow both of course in premium, but also in the entire market. And I insist on the B2B side, because the pro and the B2B segment is probably a segment where we are under-covered compared to the size that we have today in the market with MASORANGE.
Javier Borrachero: Thank you, Christel. Thank you very much.
Operator: Okay. Thank you very much. [Operator Instructions] Our next question comes from Mr. Ondrej Cabejšek from UBS. Please go ahead, sir. Your line is open.
Ondrej Cabejšek: Hi everyone. Thank you, for the presentation. I had a couple of questions please. So maybe just one quick follow-up on Spain, you've always upgraded the kind of OpEx and CapEx synergies to €498 million, but then you're talking about the option for further commercial synergies of about €100 million. Can you just talk about what exactly they are? Where they're coming from? And what the likelihood is? Like what do they depend on their delivery? So that's the follow-up on Spain. And then just two quick questions on 1Q, and how that's kind of using that as a way to cross into 2024 in terms of first of all the wholesale progression in France. We've obviously made -- progressed on the top line and you're guiding for €100 million roughly a decline in wholesale EBITDAaL in France. Can you walk us through the kind of dynamics there? You've mentioned corporate rates obviously having gone up 5% for example the civil engineering pricing. Is that already in effect? And do you see therefore further improvement throughout the year? And then second follow-up basically on -- or question in terms of trends so specifically on Africa and Middle East where you posted very strong results especially in Egypt and previously the pound devalued by quite a bit. So can you talk us through, some of the contingency measures that you're doing? And what kind of effect this could have on the total kind of operation with that in mind in 2024? Thank you.
Christel Heydemann: Thank you. So, on your first question on the Spanish synergies and the extra potential compared to what we had in the plan I will let Ludovic comment on the wholesale in France before we go back to Spain. And then after Jerome will comment on the Middle East and Africa performance and especially what we are driving in Egypt to address the devaluation. So, on the wholesale in France as you know, we've always said that we were expecting higher impact in 2023, compared to the rest. And so indeed, starting in Q1 we have the effect of the unbundling price increase. And we have the civil work engineering increase which is kicking only in March, so you will get the full effect in the rest of the year, but we didn't have yet the full impact in Q1. So that's absolutely according to plan. And you see that already in the Q1 results. Ludovic, I don't know if you want to comment on the commercial synergies and the potential €100 million increase?
Ludovic Pech: Yes. Sure. Sure. The current run rate of synergies after year three, are €492 million that has been communicated, are excluding commercial synergies. That's mostly cost synergies. As you've understood, we were prevented prior to the closing of the operation to share on commercial items. So this is why these figures do not include commercial synergies. So the €492 million basically cover for network synergy which comes from the consolidation of the network and from the fact that we joined the two customer base on the Orange network to make a long story short, and the rest, are basically across all the different cost lines of the company. 64% of those synergies are rather mechanical. Putting that in other words, they come from contractual terms or from just I would say migrating one network -- two network to one network, but that's relatively mechanical. The commercial synergies come from the fact that there is a lot of movement between the company intra-brand movements. Just to give you a sense of it, mostly one-third of the customers which were churning from Orange were going to MASMOVIL and vice versa. By just making sure that those customers remain within the same system obviously, you avoid expensing on commercial expenses installation of new customers and/or on sending new installers to the home. So that's the assessment of the commercial synergies. And based on external benchmark and previous operations, we understand that this could represent roughly 1% of total revenues. And I think we are on good track to deliver this around EUR 100 million additional synergies on top of the EUR 482 million we are mentioning.
Christel Heydemann: Thank you, Ludovic. On Middle East and Africa performance and how we compensate or anticipate the devaluation in Egypt. Jerome?
Jerome Henique: Yes. Thank you, Christel. Thank you for your question. And as we said, we posted this quarter for Middle East and Africa, a very strong growth performance led by our four growth engines, double-digit growth on mobile data fixed broadband, mobile money and B2B as well. Regarding -- and most of our countries as stated by Laurent have been posting a very strong growth, nine out of 16 posting double-digit growth. Regarding Egypt. First, we were expecting a devaluation during this first quarter. It took place in March in magnitude that we were forecasting. It was mostly offset as stated by Laurent as well by the organic performance of Orange Egypt, both in volume and value. And by the way Orange Egypt benefited from a price increase, the price-up mechanism agreed with the local regulator for all operators of around 15% and posted a growth of 35.5%. And even with the ForEx conversational impact, the performance remains excellent with a double-digit growth of 12.5% on historic figures. So, now, we expect the ForEx to stabilize till the end of the year, but we are monitoring it very carefully of course.
Ondrej Cabejšek: Thank you. That's very interesting. And if I may have one quick follow-up on this please. The 15% agreement was the regulator to increase prices? Is that -- you think there is going to be more effect because obviously the devaluation was more than three times. Is there a potential for that 15% to grow over the next couple of quarters or in any term in general?
Christel Heydemann: Is your question, do we expect more devaluation to come?
Ondrej Cabejšek: No, sorry just because the price increases agreed with the regulator was 15% you said 1-5 and then the devaluation was 50%. So, I'm just asking, if the -- there's potential for more kind of regulated price increases to compensate for the valuation.
Jerome Henique: There are always discussions going on with the NTRA in Egypt. There is nothing to announce about a new agreement between the industry and the regulator for a further price increase. But again, we are very confident with our commercial dynamics there and the volume growth as well on top of value growth. And the ARPU growth is not only driven by the price increase, but as well by new services and very strong performance of Orange Cash, which is the Orange Money brand for Orange Egypt in particular.
Ondrej Cabejšek: Thank you, very much.
Operator: Okay. It looks like we have no further questions. I'll pass the line back to Christel for her concluding remarks.
Christel Heydemann: Thank you. So as I said earlier, Q1 is a very good start to the year. We have a strong momentum with of course the creation of our JV in Spain, MASORANGE. And we are fully confident and committed on our full year guidance which we reconfirm and focused on execution of our Lead the Future plan. Thank you all.
Operator: Thank you, very much. This concludes today's conference call. We'll now be closing all the lines. Thank you and goodbye.